Operator: Good day. And thank you for standing by, and welcome to the Atlantic Union Bankshares' First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to turn the conference over to Bill Cimino. Thank you. Please go ahead, sir.
Bill Cimino: Thanks Felicia and good morning, everyone. I have Atlantic Union Bankshares' President and CEO, John Asbury and Executive Vice President and CFO, Rob Gorman, with me today. We also have other members of our executive management team with us virtually for the question-and-answer period. Please note that today's earnings release and accompanying slide presentation we are going through on the webcast are available to download on our investor website, investors.atlanticunionbank.com. The slide presentation is also available to those on the webcast today. During today's call, we will comment on our financial performance using both GAAP metrics and non-GAAP financial measures. Important information about these non-GAAP financial metrics, including reconciliations to comparable GAAP measures, is included in our earnings release for the first quarter of 2021 and in the appendix of our slide presentation. Before I turn the call over to John, I would like to remind everyone that on today's call, we will make forward-looking statements which are not statements of historical fact and are subject to risks and uncertainties. There can be no assurance that actual performance will not differ materially from any future results expressed or implied by these forward-looking statements. We undertake no obligation to publicly revise or update any forward-looking statements. Please refer to our earnings release for the first quarter of 2021 and our other SEC filings for further discussion of the Company's risk factors and important information regarding our forward-looking statements, including factors that could cause actual results to differ from those expressed or implied in any forward-looking statement. All comments made today on this call are subject to that safe harbor statement. At the end of the call, we will take questions from the research analyst community. And now, I'll turn the call over to John Asbury.
John Asbury: Thank you, Bill. Thanks to all for joining us today. And I do hope everyone listening is safe and well. For those who follow us closely, you'll know that for the last year we've been consistent in our commentary that we are managing through two significant and distinct challenges. First, the continuing COVID-19 pandemic which we certainly hope is in its latter stages. And second, a near zero short-term rate environment that we believe still has years to run with all of its applications for the company's profitability. We continue to believe that our strategic plan with our long-term goal to become the premier Mid Atlantic bank is the right one and that we have a great opportunity before us to create something uniquely valuable for our shareholders and the communities we serve. And we remain keenly focused on reaching the full potential of this powerful franchise despite the present challenges.
Rob Gorman: Thank you, John, and good morning, everyone. Thanks for joining us today. Before I get into the details of Atlantic Union's financial results for the first quarter 2021, I think it's important to once again reinforce John's comments on American Union's governing philosophy of soundness, profitability and growth in that order of priority. This core philosophy is serving us well as we continue to manage the company through the current COVID-19 pandemic while preparing us for what comes next. The Atlantic Union continues to be in a strong financial position with a well fortified balance sheet. We have the liquidity and a strong capital base, which is allowing us to weather the current storm and come up stronger once the pandemic has passed. Now let's turn to the company's financial results for the first quarter. Please note that for the first, for the most part, my commentary will focus on Atlantic Union's first quarter financial results on a non- GAAP operating basis, which excludes an after tax debt extinguishment loss of $11.6 million resulting from the repayment of long term Federal Home Loan Bank advances in the first quarter and also exclude $16.4 million in after tax debt extinguishment losses in the fourth quarter of 2020. For clarity, I will specify which financial metrics are on a reporting versus non-GAAP operating basis. In the first quarter reported net income available to common shareholders was $53.2 million, and their earnings per share per common share were $0.67 down approximately $3.2 million or $0.05 per common share from the fourth quarter. The reported return on equity for the first quarter was 8.4%, which was down from 8.8% in the prior quarter. The reported non-GAAP return on tangible common equity in the first quarter was 14.6%, down from 15.6% in the fourth quarter. Reported first quarter return on assets was 1.16%, down slightly from the 1.19% in the fourth quarter. And finally, the reported first quarter efficiency ratio was 67.5%, which was down from 68.4% for the fourth quarter. On a non-GAAP operating basis, net adjusted operating earnings available to common shareholders holders in the first quarter was $64.8 million, and earnings per common share were $0.82. This is down approximately $8.1 million or $0.11 per common share from the fourth quarter. Non- GAAP pretax pre provision adjusted earnings were $68.6 million, compared to $77 million in the fourth quarter. The non-GAAP adjusted operating return on tangible common equity was 17.6% in the first quarter compared to 19.9% in the fourth quarter. First quarter non-GAAP adjusted operating return on assets was 1.4%, down from 1.52% in the fourth quarter. The non-GAAP adjusted operating efficiency ratio was 55.4% in the first quarter as compared to 53.6% in the fourth quarter.  Turning to credit loss reserves. As of the end of the first quarter, the total allowance for credit losses was $155.7 million, comprised of the allowance for loan and lease losses of $142.9 million and the reserve for unfunded commitments of $12.8 million. In the first quarter, the total allowance for credit losses decreased $14.8 million, primarily due to lower expected losses than previously estimated as a result of improvements in Virginia's unemployment rate, benign credit quality metrics to date, and an improved economic outlook over the forecast period due to the rollout of COVID-19 vaccines and additional government stimulus inclusive of more PPP loan funding. The allowance for loan and lease losses as a percentage of the total loan portfolio was 1% at March 31, which was down 14 basis points from the end of the fourth quarter, and the total allowance for credit losses as a percentage of total loans was 1.09% at the end of March, which was down from 1.22% in the prior quarter. Excluding SBA guaranteed PPP loans, the allowance for loan and lease losses as a percentage of adjusted loans declined 13 basis points to 1.12% from the fourth quarter, and the total allowance for credit losses as a percentage of adjusted loans decreased 11 basis points to 1.22% from the prior quarter. The coverage ratio for the allowance for loan and lease losses to non accrual loans was 3.4x at March 31st as compared to 3.8x at December 31. The $15 million decline in the company's total allowance for credit losses took into consideration the COVID-19 pandemic impact on credit losses, both through the two year reasonable and supportable macroeconomic forecasts utilizing the company's quantitative, CECL model and through management's qualitative adjustments. Down the two year reasonable and supportable forecast period the CECL quantitative model estimates expected credit losses using a reversion to the mean of the company's historic loss rates on a straight line basis over two years. And estimating expected credit losses, within a loan portfolio at core length the company utilize Moody's marks baseline macroeconomic forecasts for the two year reasonable and supportable forecast period. Moody's March economic forecasts improved since December and are now assumed that on a national level GDP will increase 5.7% in 2021, and 2022, as compared to GDP increases of 4.1% in 2021, and 4.4% in 2022 in the December forecast. Moody's forecasts for Virginia which covers the majority of our footprint, and previously assumed that the unemployment rate in the state would average around 5% during the two year forecast period, but the March forecast now assumes a two year average of 4%.  In addition to the quantitative modeling, the company also made qualitative adjustments for certain industries viewed as being highly impacted by COVID-19 as noted by John. Additional economic scenarios were considered as part of the qualitative framework in order to capture the economic uncertainty and concerns related to the path of the virus, vaccination distribution efforts and the potential for other unfavorable economic developments. The negative provision for credit losses of $30.6 million in the first quarter of 2021 was consistent with a negative provision for credit losses in the previous quarter, and was a decline of $73.8 million compared to the first quarter in 2020.  The provision for credit losses for the first quarter 2021 reflected a negative provision of $16.5 million and the provision for loan losses and $2.8 million in the provision for unfunded commitments. The material decrease in the provision for credit losses as compared to the same quarter in 2020 was driven by the better than anticipated credit impacts since the pandemic began the significant recovery in the economy since last year, as well as the improvement in the economic forecasts utilized in estimating the allowance for credit losses as of March 31. In the first quarter, net charge-offs were $1.2 million, or three basis points of total average loans on an annualized basis, as compared to $1.8 million or five basis points for the prior quarter, and $5 million, or 16 basis points for the first quarter last year. As in previous quarters, the majority of net charge-offs approximately 63% in Q1 came from non relationship third party consumer loans which are in runoff mode. Now turning to the pretax pre provision components of the income statement for the first quarter, tax equivalent net interest income was $138 million, which was down $10.7 million from the fourth quarter, primarily driven by the lower day count in the first quarter and the $7.2 million decline in PPP loan fee accretion interest income, due to lower levels of PPP loans process for forgiveness during the current quarter versus the prior quarter. Net accretion of purchase accounting adjustments added nine basis points to the net interest margin in the first quarter, which is in line with a nine basis point impact in the fourth quarter. The first quarter's tax equivalent net interest margin was 3.16%, which was a decrease of 16 basis points from the previous quarter as a result of a 23 basis point decrease in the yield on earnings assets partially offset by a seven basis point decline in the cost of funds. The quarter earning asset yield decreased with driven by the 30 basis point decline in the loan portfolio yield. The loan portfolio yield decreased to 3.69% from 3.99% in the fourth quarter, primarily driven by the impact of lower levels of PPP loan fee accretion resulting from lower levels of PPP round one loans forgiven by the SBA in the first quarter. Also core loan yield compression due to lower market interest rates, as well as lower levels of non PPP loan fees. The quarterly decrease in the cost of funds to 30 basis points from 37 basis points was primarily driven by a seven basis point decline in the cost of deposits to 23 basis points in the first quarter. Interest bearing deposit costs declined by 10 basis points from the fourth quarter to 32 basis points in the first quarter, due to continued aggressive repricing deposits, and the maturity of high cost time deposits in the quarter. Noninterest income decreased $1.2 million or $31 million in the first quarter, primarily driven by the $1.2 million decline in service charges on deposit accounts through the lower levels of overdraft fees, a decrease in mortgage banking income of $858,000, driven by lower mortgage origination volumes in the first quarter and lower loan related interest rate swap income of $950,000 due to lower transaction volumes. These quarterly declines are partially offset by increases in several other noninterest income categories, including an increase in wealth management fees of $368,000 and increase in insurance related income of $481,000 and an increase in unrealized gains on equity method investments of approximately $700,000. Noninterest expense declined $9.8 million to $111.9 million in the first quarter from $121.7 million in the prior quarter. The decline in noninterest expense related to the decrease in debt extinguishment cost to $14.7 million during the quarter ended March 31st compared $20.8 million in the prior quarter. In addition, noninterest expenses decreased by approximately $5 million in salaries and benefits, which was driven by lower performance based variable incentive compensation, and profit sharing expenses in the first quarter of 2021, partially offset by seasonal increases in payroll related taxes and 401-k contribution expense. In addition, OREO and related credit expenses declined from the fourth quarter by approximately $625,000 driven by $575,000, in gains on the sale of closed branches. These net reductions were offset by an increase of $1.2 million in professional fees -- professional service costs, driven by an uptick in legal and audit fees and costs related to strategic projects. Noninterest expense for the first quarter of 2021 also included approximately $1.1 million in costs related to the company's closure of five branches in February, seasonal snow removal cost of approximately $370,000, approximately $300,000 in costs related to the company's response to the COVID-19 pandemic, and approximately $500,000 in expenses related to PPP round one loan forgiveness processing, and PPP round two round setup cost incurred during the quarter.  The effective tax rate for the first quarter increased to 16.8% from 15.1% in the fourth quarter. And for 2021, we continue to expect the full year effective tax rates to be in the 16.5% to 17% range. Now turning to the balance sheet; period-end total assets stood at $19.9 billion at March 31. That's an increase of $226 million from December 31st, primarily due to an increase in PPP loan balances. At period-end, loans held for investment were $14.3 billion, which was an increase of $251 million, or approximately 7.3% annualized from the prior quarter, driven by the additional $512 million of round two PPP loans, partially offset by $165 million in round one PPP loans that were forgiven during the first quarter. Excluding the PPP loans, loan balances in the first quarter decline approximately 2.6% on an annualized basis driven by declines in commercial loan balances of $16 million or 4.6% annualized, and reductions in consumer loan balances of $66 million worth 80% on an annualized basis. The overall decline in consumer loan balances during the quarter was driven by continued pay downs and the HELOC and residential mortgage loan portfolios, as well as the continued runoff of non relationship third party consumer loan balances, which was partially offset by 5.1% annualized growth in the indirect auto balances for the quarter. Excluding PPP loans, loan yields declined by approximately 14 basis points to 3.72% from the fourth quarter. At the end of March, total deposits stood at $16.3 billion, that's an increase of $575 million, or approximately 15% annualized from the prior quarter, driven by an increase of $698 million in demand deposits. As a result of PPP round two loans related deposits and government stimulus checks, and an increase of $87 million in savings account balances. These Deposit Account Balance increases were partially offset by time deposit balance one off of $196 million. At March 31, low cost transaction accounts comprise 53% of total deposit balances, which was up from 51% in the fourth quarter. As mentioned, the average total cost of deposits declined by seven basis points to 23 basis points, while interest bearing deposit costs declined by 10 basis points in the first quarter. The company's liquidity position remains strong at both the bank and holding company levels with multiple sources that can be tapped if needed. From a shareholder stewardship and capital management perspective, we remain committed to managing our resources prudently as a deployment of capital for the enhancement of long-term shareholder value remains one of our highest priorities.  From a capital perspective, the company continues to be well positioned as it continues to manage through the uncertainties of the pandemic and its potential impact on the company's financial results. At the end of the first quarter, Atlantic Union Bankshares and Atlantic Union Bank's capital ratios were well regulatory capitalized levels. During the first quarter of 2021, the companies paid the common stock dividend of $0.25 per share, and also pay the quarterly dividend of $171.88 on each outstanding share of Series A preferred stock. In summary, Atlantic Union delivered solid financial results in the first quarter while positioning ourselves for stronger profitability and growth as the year progresses and the pandemics impact on the economy subsides. Please note that while we continue to proactively manage the company through the uncertainties of the pandemic, we also remain focused on leveraging the Atlantic Union franchise to generate sustainable, profitable growth and remain committed to building long-term value for our shareholders.  And with that let me now turn it back over to Bill Cimino to open it up for questions.
Bill Cimino: Thanks, Rob. And Felicia, we have time for a few questions and we are ready for our first caller.
Operator:  Your first question comes from the line of Eugene Koysman of Barclays.
EugeneKoysman: Good morning. Thanks for taking my questions. I'd like to zero in on expenses, looks like you raised your quarterly sales run rate outlook higher, as you size in the recent quarters from the high 80s and once will be $90 million to $92 million range. And now in the upper end of that to $92 million. That said I really appreciate that the key drivers here PPP and COVID costs and also investing in a franchise. Can you share with us what kind of return are you expecting on these investments. And when we are going to start to see it materialize in the form of higher revenues and low balance.
RobGorman: Yes, Eugene, this is Rob. I think you're asking what we expect, we've got a number of projects in the working in, as we mentioned, we look at this on a business return perspective. So all of our major projects go through a process that both financially and strategically are evaluated and we looked for approximately 50%. We have a 50% hurdle rate for all major projects, meaning we may make as John mentioned in his comments, we'll make some investments upfront and reap the benefits down the road. But the internal rate of return needs to be at least 15%.
BillCimino: And Eugene, you broke up a little bit in your commentary. So if we're not fully answering your question, just repeat the question, please.
EugeneKoysman: So what I was asking is so now looks like the annual run rate of expenses went up to maybe like 10 plus million dollars from less over the last few quarters. What kind of returns are you expecting and when we see the return on that $10 million in annual expenses.
RobGorman: Yes, so in terms of the returns, you can start to expect to see some of those coming in the second half of the year. But most likely most of these would be paid backs in 2022. The way we look at this, Eugene is it may not lead to declines in overall expense levels, but it will mitigate the growth in expenses year-to-year. We're looking at it to keep our expense base growth levels lower to improve operating leverage and increase operating leverage as eventually we expect that revenue growth will improve.
JohnAsbury: Yes, we've been trying to attack manual processes for a long time. Candidly, we had expected in the absence of COVID, that last year would have been the year to take some of this on and that obviously the timeline changes, we dealt with all of the disruption. So from our standpoint, we're focused on the scalability, the franchise driving operating efficiency, improving operating leverage to Rob's point.
EugeneKoysman: Got it. Thank you. And I may want to switch over to NII. So look at the assets size of the balance sheet, how much more repricing headwind you think is less than the loans and security books. And on the funding side is CD book run off your only remaining lever?
RobGorman: Yes, so yes, a couple points on that, Eugene. Yes, in terms of the earning assets side, we do expect that we'll continue to see some compression over the next several quarters just due to the low interest rate environment compared to what our portfolios are earning today. The good news there is we do coming -- if we looked at it from the fourth quarter to where we sit today, there has been a steepening of the curve as on the long end and that is helpful for us as from a fixed rate loan pricing perspective, and also from reinvestments in investments in our investment portfolio. So, for instance, I think we said last quarter; we were reinvesting in reinvestment portfolio and adding to the investment portfolio at about a 1.5% rate. Today, we're actually seeing that reinvestment rate closer to 2%. So that's a nice lift. So that will kind of mitigate some of the compression on maybe just on the earning asset yield, although we do expect to continue to tick down zero basis points. 
EugeneKoysman: Yes, so that 2% reinvestment rate, where the securities coming in, what kind of yield -- 
RobGorman: Yes. So the overall security portfolio, if you look at this quarter, it was earning 2.79%. So reinvesting, you're still reinvesting at a lower rate over time, over the current period. So that's why you'll continue to see some compression in the earnings asset yields. On the deposit side, we continue to have opportunities, as we repriced CDs, I think we've talked about this in prior calls that we've got over a $1 billion of CDs that are maturing over the next few quarters. And we see that in the first quarter. So our deposit costs came down seven bps on average, quarter-to-quarter, if you look at it from the next 23 basis points, if you look at it in March, if you look at in just the month of March, we are 21 basis points. We expect to see over the next two quarters to be in the mid- teens there on across the front side. As for other levers, really we pay back all, we don't have any Federal Home Loan Bank advances anymore, we paid all of those off as we have added a couple of swaps, where we see fixed received fixed swaps, that have -- will be reducing some of our assets sensitivity, which will allow for some pickup on margin, for instance, we're picking up about I think we have a couple 100 million of swaps we put on in the first quarter. And we're picking up about 100 basis points on those swaps as we speak. So those are kind of we continue to look at all levers there, Eugene, but those are the ones that currently we will be playing out over the next few quarters.
EugeneKoysman: Rob, would you restate NIM guidance, please?
RobGorman: Oh, yes. Yes. So if you take out PPP, which is going to fluctuate with forgiveness, as we go through the next couple of quarters and accretion income, our core NIM call is remaining pretty much the same at 305 core NIM level, again, kind of a combination of earnings assets is going to down both being offset by some of these -- some of the swaps that I'm talking about. But also, most importantly, is cost of deposits, cost of funds coming down as well to offset that earnings asset yield compression. So we haven't really come off that guidance at all. It's about 305. We'll continue to see that as we go forward. Unless there's a change in the interest rate environment. We are steepening, if we get short rates move we're not expecting that to happen. But if they did, that'd be positive impact for us.
Operator: Your next question comes from the line of Brody Preston of Stephens Inc.
BrodyPreston: Hey, good morning, everybody. How are you? Hey, Rob, I just want to circle back on expenses. I didn't hear if gave a sort of a quarterly guide for next quarter. But I guess with the amortization included, I have about $95 million in core for this quarter and about $92 million XM and so trying to get a sense for what to expect the run rate to look like for the rest of the year.
RobGorman: Yes, so we're not coming up with guide, we now think it'll be in the 92-ish, quarterly run rate going forward here. We had a few outsize expenses that will reoccur; recurring in the out quarters, biggest one being we had seasonal increases in our payroll taxes 401-k. That's primarily driven by incentive payouts. And a big chunk of that relates to vesting of stock, the restricted stock, so you should see those numbers coming down fairly materially in the second quarter and beyond. So we're sticking with $92 million or so give or take on that so.
BrodyPreston: Is that -- and that's inclusive of the amortization of intangibles.
RobGorman: Yes, it is. It is, Brody, that's right. 
BrodyPreston: Okay. Great. And then I wanted to ask, Corsi and I actually held up and expanded a little bit this quarter when you back out PPP. And so I wanted to ask, were there any specific drivers of that? Or, I guess, did you make any headway and with borrowers end market?
JohnAsbury: Brody, I'll start and then I might ask Dave Ring to comment here. If you look at your key areas of strength, probably the single best performing region within the franchise would have been Central Virginia, which means the greater Richmond area, which is you're doing quite well, Atlantic Union, equipment, finance, we continue to be very pleased with and proud of, if you look at everything that's going on out there, there is a very good reason to believe we're going to see more capital investment, anything around transportation, logistics, wholesale and industrial is white hot, and that is a good business to be in for us right now. As a reminder, when we talk about equipment, finance, we're talking about small dollar; we're talking about things that are minimum a $1 million. It's just basic secured equipment, finance, and we have leasing capabilities as well. Dave Ring, do you want to comment on kind of what we're seeing from a commercial standpoint? Also, I'll reiterate my comments. I said this intentionally. If you look at our pipeline right now, it's a pre pandemic level. The last time I saw pipeline this large was Q3 of 2019, which was, I think, one of our best quarters ever in Q1 production, even though it's not evident in outstandings yet, because we're still seeing suppressed line utilization was higher than Q1, 2020 or Q1, 2019. So these are all things that are giving us confidence that we should be on improving trend. Dave, do you have any comments, you want to give us as headliners, what you're seeing from a commercial or wholesale banking standpoint?
DavidRing: Sure, John, and then Brody what we've done over the last few years is we put a sales process in place, which kind of takes us our sales cycle reduces the timeframe of our sales cycle. And so we're able to build pipeline quicker, we've never stopped cold calling during the pandemic. So we continued to knock on doors, waiting for the opportunities to talk to companies as they saw some sunshine coming into their businesses. We've been hiring people from other banks, we've over the last 16 months, and we've hired 65 new people into commercial, some of which were in support roles other in new business roles. And so we've constantly tried to add talent into the growth markets like Greater Washington, Baltimore, coastal regions, and into equipment finance, where we continue to grow. So we've constantly invested in the business. And we've also put in a sales culture where we're constantly calling even if the opportunities aren't quite there yet, but to form relationships with companies that we think would be good long term. So we've done a lot of those things over the last three years. And we're continuing to do them now. And what we've seen in our pipeline because the real estate market has kind of ticked down a little bit, our pipeline is more over weighted towards C&I business for the first time, really, in the last five quarters, it's more C&I business. And over the last five quarters, it is our largest pipeline, right now that we have going into Q2. So we're in pretty good shape.
BrodyPreston: Understood. And I did just have one last one, John, for you. There's with the stimulus, obviously, NSF fees and overdraft fees have gone down across the industry. And I think you guys call that out as one of the things that weighed on service charges this quarter. But we've seen a couple of banks, specifically this quarter PNC, one of the larger ones. And then Colin Frost down in Texas announced specific initiatives to curb overdraft fees for their clients. And it seems like this is a trend in the industry is kind of following and so I guess this is something that you expect to maybe kind of pursue at Atlantic Union. And I guess, how do you expect that to impact the industry overall?
JohnAsbury: Well, I think we're certainly paying attention to it. We have never had overdraft fees as any sort of designed strategy for the bank. And we're not outsized in terms of the amount of overdraft fees that we have. We do think that when a bank pays an overdraft, it is providing unsecured short-term loan and you should be compensated for that. So we don't have any plan at this very moment to make any substantial changes, but we'll continue to watch it. Maria Tedesco is President. Maria, do you have any comments on that?
MariaTedesco: No, not anything additional. I think you're right on and we will continue to monitor and watch what's happening in the industry. And we're always evaluating how we go to market with these types of things.
JohnAsbury: Yes. I think if banks are over weighted or over relied on over overdraft, you're going to be in a different position.
Operator: Your next question comes from the line of Casey Whitman of Piper Sandler.
CaseyWhitman: Hey, good morning. I'll just, John, maybe ask you one higher level question. We've seen M&A pickup across the industry. Can you give us the latest on your thoughts on Atlantic Union's M&A appetite, maybe in terms of the what excites you most in terms of geography, size, range, et cetera that will be helpful. Thanks.
JohnAsbury: Sure. Thanks, Casey. Well, it's no surprise to us that we've seen an uptick in M&A. We've been talking about this coming for some time. And I continue to believe that it's first and foremost, a function of the long-term pressure on net interest margin across the industry based on the expectation of a near zero short term interest rate environment for years. That's one, there's no question that scale helps in terms of the ability to invest in technology and digital product offerings, specifically as you can spread out over a larger base. I think that so none of that surprises us. From our standpoint, Casey, nothing's fundamentally changed. It's kind of the same story for years, we like the contiguous compact, dense franchise, we think about the brand power, we think about the scarcity value of the franchise, we continue to believe that fundamentally, this is an organic growth strategy that could be supplemented by select M&A. But we would not do anything that doesn't make strategic and financial sense, strategic sense means it kind of fits with the general philosophy that we've consistently outlined for years and years. And financial means that there has to be a value creation opportunity, on a risk weighted basis for the shareholder, we've been very clear and have recently been reiterating acquisition parameters. So, yes, are there going to be more opportunities in this environment? Yes, I think there are. We said last quarter that this is something that we recognize likely is an opportunity for us, there's certainly more chatter and more conversation going on out there. Do we have to do something? No, might we do something, perhaps. And we do look at the full range of opportunities in terms of from smaller, smaller for us means what we've been doing, like $3 billion, not going to see us go by a $1 billion bank. On to things that are larger, there aren't that many larger scale things that would actually make sense. But that doesn't mean it's zero. But as you think about something larger scale, you got to make sure that that's more of a partnership, you have to make sure that you're culturally aligned to that to be a very special case, the other strategies are complimentary. And that it creates value and just sort of adds to the strength that we believe we have. So we'll look at it, we'll be thoughtful, we'll be disciplined. We won't surprise anybody. I think in terms of you're not going to see a show up in Iowa. We like we kind of like what we're doing right now. But I will do, there's a reason why we're talking about improving the scale ability of the franchise with the sort of investments that we're making. I think it's a scalable franchise. I absolutely believe in my heart. It's a scalable leadership team. And I think they're going to be opportunities. One word we don't like to use around here is opportunistic. I don't like using the word opportunistic as it relates to M&A because to me, that suggests that you're just sort of taking what might come. We're very planful. And we have a view toward this. And we try to think two and three steps ahead. If we do x, then what? So you got to think a few steps ahead. And that's our philosophy line. So I guess I'll just leave it at that.
Operator: Your next question comes from the line of Catherine Miller of KBW.
CatherineMiller: Good morning. I just want to have a quick follow up on expenses just to clarify the $92 million Rob that you're talking about. To confirm that includes the amortization of intangible so that's kind of relative to the $97 million that we saw this quarter excluding the debt extinguishment.
RobGorman: Yes. It does include that, yes.
CatherineMiller: Great. Okay, I just want to confirm. And then on the ACL just wanted to kind of think about big picture, how much reserve release, you think you've got ahead of you, I guess the day one reserve was about 90 or excuse me, that 71 basis point, do you think we add back to kind of the day one CECL level? Or do you think we still kind of hang at a level above that as we move through the next year or so?
RobGorman: Yes, in terms of that, Catherine of course, depends on things continue to play out the way we've been growing, playing out and the forecast remains favorable. We don't get any hiccups along the way here. Yes, you're going to continue to see releases of the allowance for credit losses, eventually making their way back to that day one CECL level. Our view is that could be yours as soon as the end of the fourth quarter into the first quarter of next year. Just based on what we're seeing currently. Really no deteriorating metrics, it was grading pretty stable. So we don't see any negatives going forward. But we'll continue to monitor that. But yes, that's what the way we're thinking about it is eventually it'll get back to that. Let's call it 70 to 75 basis points CECL day one reserve.
CatherineMiller: And then how much flexibility do you really have in maintaining the reserve? If growth is really going to start to improve in the back half of the year, can you -- is there flexibility within the CECL model that you can maybe release a little bit less just to kind of give yourself a cushion to provide for some of that growth?
RobGorman: Yes. Right. So we're not going to go quickly in terms of reducing that reserve, we're going to monitor closely take steps down, if you will, because you can, there is the opportunity to provide these qualitative factors as an overlay to your quantitative model, which may suggest a lower reserve, there's always going to be uncertainty out there. So there always would be some ability to overlay those factors. But I think we're going to kind of be conservative here and stair step this stuff down based on what we're seeing on the ground, and in the future outlook, see how that plays out. But as you saw, we kind of took a step in the fourth quarter; we've taken another step, comparable step in the first quarter. And I think we can continue, if it plays out, you'll continue to see that. Right now, if you look at our allowance for credit losses, approximately 35% of the $156 million in reserves we have out there are qualitative; those are -- they are qualitative factors that have been added back into our quantitative model, because of the uncertainty and not seeing. There has always been some uncertainty there. So while we said some of that, but that's where we stand today. And we'll continue to evaluate that.
Operator: Your next question comes from the line of William Wallace of Raymond James.
WilliamWallace: Hi, thank you. Good morning. John in your prepared remarks, you gave the utilization rates in your lines of credit. Could you repeat what that rate was? What it was down from? And then could you opine on how you might anticipate the borrowers spending the cash on their balance sheet and having a need for those who are accessing those lines again?
JohnAsbury: Yes, commercial line utilization. Now, when I say commercial line utilization, I'm not talking about construction lending, forget that. I'm talking about revolving credits to commercial and industrial businesses, which generally support working capital and sometimes they are general, corporate purposes. Utilization for C&I lines was 25% at the end of Q1 versus 26%, at the end of Q4, 2020. Normal for us would be low for 40, low 40s. So that's a substantial difference. And we saw kicked down, which was simply the build of liquidity. I think there's a burn rate concept here Willi. I have said it before; I think businesses have been flushed with cash. And typically what you would see as sales pick up, they begin to carry, its tiny differences, it's working capital needs, it's classic commercial and industrial banking. So they'll carry receivables, they'll build inventory, and to some extent, make capital expenditures as well, that may or may not ultimately be financed through return. So I think just improving business conditions and improving sales activity. As you get into things like the government contractor space, you're clearly financing contracts. We are seeing more M&A go on in that space. And so that were impacted. So we do think that companies will continue to burn through or absorb some of this excess liquidity. Having been in a commercial industrial banker, by background having been in the business for 33 years, I predicted businesses will carry a little more liquidity on a go forward basis used to be that they would effectively carry zero cash, and they would always pay down lines of credit with excess cash. I don't think we'll see as much of that. But I do think that the rising economic tide will lift this boat. And I think that you're going to see more line utilization, obviously, new client acquisition is impactful, too. But all indications to us lead us to believe that companies are investing your businesses improving. There are lots of things that are scarce right now. It's difficult to get if you're going to ship something good luck, there's very little capacity among the freight lines and the railroads. I know, from being on the border of a port of Virginia, I was -- I'm told that there's one and a half orders for every one slot on container ships worldwide right now. And so I think that will this will pick up these are historic lows, this is a historic level of liquidity. And the rising tide is going to lift that boat. So I think that will be on a gradual improving trend.
WilliamWallace: And I mean obviously there's that could be a potentially significant driver of growth in the portfolio next year, maybe even late this year. Is that something that you think would be a benefit to your kind of high single digits target? Or do you think you need that increasing utilization to kind of get back to that high single digit rate?
JohnAsbury: Well, I think that we're going to need some improvement in line utilization in order to hit those objectives. But that'll be a combination of new client acquisition of existing clients engaged in capital expenditures. You look at the outlook, top for our guys over in equipment, finance, I mean, we -- there's a very good reason to believe we're going to see substantial capital investment across most industries. And so we, I don't want to be overly bullish here Willi, but I do think that there's a very bold case. And I think that I don't know exactly what the timing is going to be. But I think that there's going to be an improving trend line. So we don't, I'll repeat what I said in my opening comments, we see no reason right now to not believe that we should get back to where we've been for as long as I've been here, which is the ability to generate high single digit growth on organic basis. I think that the next year issue to be clear, that we should be on improving trend should be for the remainder of this year.
WilliamWallace: Okay, thanks. And only expense. John you're saying that you made the decision to I guess, increase your investment levels. And you measure these on a return basis. Are we -- should we anticipate that we would see the returns in the form of slower expense growth in and out years, or accelerating revenue growth due to productivity enhancements?
JohnAsbury: And you make a good point, I do want to point out some of these projects are revenue related, foreign exchange business would be a good example. So there are some things that we're doing in terms of making investment in order to build revenue generation capabilities. It's not the big ticket items are absolutely about better automation, process improvement. Some of them are in -- some of are compliance activities, whether it's BSA AML, fraud mitigation, which should reduce funding losses, et cetera in addition to kind of the blocking and tackling in loan to deposit operations. Rob, do you want to answer that question?
RobGorman: Yes, I agree with what you just said, John. But yes, Willi, the primary benefit is going to be a slower loan flow or expense growth going forward. Because a lot of the stuff is your back office efficiency, scalability, take advantage of processes out of the equation, not having to put FTP in place as we grow the company. So I think we'll see it manifests itself mostly in subdued annual growth rate going forward on the expense side.
JohnAsbury: And better operating leverage. And I will say also, it's not lost on us that we have, we are sitting on an embedded $25 million of fee income from PPP round two, which we did not plan on, that was not lost on us, as we thought about is now the time to pull forward a couple of these things and try to knock them out. Obviously, we're not spending much of that. But that was not a bad thing to take into consideration.
Operator: Your final question comes from the line of Laurie Hunsicker of Compass Point.
LaurieHunsicker: Hi, thanks. Good morning. I just wondered if we could go back sort of a little bit to expenses and just how you're thinking about branch closures. I know you would do at 149. You're now at 129, 129 was you goal. Are there more branches to go here? How you thinking about that? And then also with three loan production offices do you maybe shutter those in light of what we're seeing now with rate? Or how are you thinking about that?
JohnAsbury: Regarding the branch network, as you know Laurie, we've closed 20 branches over the last year that's 13% of the network. As an annual process, we do formally review the entire branch network. I don't think you're going to see us turn around and close another 20 in short term, but this never ends in terms of the work toward optimizing the branch distribution network. There are some repositioning opportunities, perhaps we have one going on right now here in Richmond, and we're effectively closing two opening one new one in a better location that is of a design that is what we want for a modern banking requirement. And it's certainly less expensive. So you may see some more of that. 
RobGorman: Yes, that's build; we're building a new branch and classic custom, yes. 
JohnAsbury: Yes. So you may see us, it is a classic way of doing that, as you close branch A and move that business to branch B. The other way to do it is to close branch A and branch B and build branch C, which is on a better location. So that's a different way of thinking. You're starting to see a little bit of that go on in the system. So we'll continue to evaluate this on a discipline basis. You mentioned though, loan production offices, you talking about Charlotte and our Columbia, Maryland operation. Is that --?
LaurieHunsicker: I think you have three of them, is that right?
JohnAsbury: Well, I would say we have two really. We have Columbia, Maryland, which is Baltimore area. And we have Charlotte; technically we have a small office in Greensborough as well.
RobGorman: Yes, went through equipment and financing but --
JohnAsbury: Credit finances but it is -- that's how I know. So they're doing well, we're investing in those; Charlotte is principally a commercial real estate play, whereas Columbia is not. We're very happy with those markets, we certainly are not thinking about closing them.
LaurieHunsicker: Okay. And then Rob, do you have numbers in terms of what your balances are in third party consumer and Lending Club as of March 31? I get them from you offline.
RobGorman: The numbers are it's about $123 million total, $40 million of that is Lending Club and then service finance is about $85 million. They're paying down pretty quickly to the tune of $20 million to $25 million a quarter.
LaurieHunsicker: That's great. And then John, last question to you just kind of going back to what Casey was asking on M&A, you are very well positioned on M&A. You have very strong currency. Can you just help us fine tune a little bit in terms of how small will you go on assets? How big would you go on assets? Would you consider an MOV? Thank you for taking my questions.
JohnAsbury: Yes, sure thing, Laurie. Honestly, we debate constantly this question, very good question of how small would you go to make sense? Yes, I don't want to say something. I try to never say never. But I would say that it's difficult to imagine we would do something much below say $3 billion. I cannot conceive of any scenario whatsoever, where we would go below $1 billion to say just -- it just doesn't move the needle enough. You have to think about the work that goes on there. Smaller deals aren't particularly risky, they're relatively low risk. But how impactful are they in terms of the value creation opportunity? That's what it's really about? How much does it add to the scarcity value of the franchise? How good is this? So our preference as you've seen us do, at least in my time here would be no lower than roughly the $3 billion range could be a little lower, but not $1 billion. And then on the upper end, this slightly different message that we delivered intentionally last quarter is that sure, we recognize as a $20 billion bank that even a $3 billion acquisition is not as incrementally impactful in terms of value creation as what it used to be when we were a smaller company. And so we do think about the full set of opportunities from kind of that low end, I've been discussing up to something that some might call an MOV. And different people have different interpretations of what that means. But that just means something that's starting to get sort of close to your own size plus or minus, whatever is the line, maybe. Would we consider that? Yes, we would consider that. But I would reiterate execution risk is way up. And so then you have to think about that is more of a partnership that is not a straight acquisition, and what are the benefits? How much value could be created? And how do you compare that against the risks involved et cetera? And do you or do you not have a complimentary culture, business strategy and all important for Atlantic Union Bank? What does it do to the power and the scarcity value of this franchise, you do not want to do anything that dilutes the power of the franchise, the scarcity value of franchise, the opportunity that we have, because we're very focused. So that's how we think about it. Truth is, there just aren't that many things that would screen is being sensible from our standpoint, but it doesn't mean zero, it simply means not that many. So we try to be open minded. We have lots of good relationships. We have lots of friends out there. There are conversations that have been going on for my 4.5 years that I've been here. And these things don't just happen overnight, you don't just get a phone call. And it's something that we think it's important to maintain optionality, it's all about optionality. And then you have to think about what's your optionality after you do something smaller or larger? Do you have more options? Or do you have fewer options? So it's all about value creation. It's all about thinking two and three steps ahead. It's about being strategic is not about being opportunistic, because your phone rings, that's my view.
Bill Cimino: Thanks, Laurie. And thanks, john. And thanks everybody for calling in today. We appreciate your time and we look forward to talking with you in July. Take care.
John Asbury: Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.